Operator: Welcome to the third quarter earnings conference call for Amphenol Corporation. Following today’s presentation, there will be a formal question-and-answer session. (Operator Instructions) I’d like to introduce today’s conference host, Ms. Diana Reardon. Ma'am, you may begin.
Diana Reardon: Thank you. Good afternoon. My name is Diana Reardon and I’m Amphenol's CFO. I'm here together with Adam Norwitt, our CEO and we’d like to welcome everyone to our third quarter call. The results were released this morning. I will provide some financial commentary on the quarter and Adam will give an overview of the business and current trends. We’ll then have a question-and-answer session. The company had a record third quarter, achieving strong growth in both sales and earnings per share and exceeding the high end of the company’s guidance. Sales were $948 million, up 7% in both US dollars and local currencies over the second quarter of 2010. Compared to last year, sales were up 32% in US dollars and 33% in local currencies. From an organic standpoint, excluding both acquisitions and currency impact, sales in the third quarter were up 3% sequentially and 28% year-over-year, a very strong performance. Breaking down sales into our two major components, our cable business, which comprised 7% of our sales, was down 6% from last year and 1% from last quarter. The sales decline relates primarily to lower spending in North American broadband markets. The interconnect business, which comprised 93% of our sales, was up 36% from last year and 8% sequentially, with growth in all markets. Adam will comment further on trends by market in a few minutes. Operating income for the quarter was $189 million, compared to $124 million last year. Operating margin was 19.9%, compared to 17.3% last year. Operating income as net of stock option expense was approximately $7 million or 0.7% of sales in the Q3 2010 quarter compared to $5.2 million and 07% of sales in the Q3 2009. From a segment standpoint, in the cable business, margins were 13.5%, down from 16.1% last year. The margin decline relates both to higher relative material costs and the impact of market price reductions. In the interconnect business, margins were 22.3%, compared to 19.6% last year. The improvement in margin reflects the benefits of proactive and aggressive management of all elements of cost as volume has ramped back up. Overall, we are extremely pleased with the company’s operating margin achievement of 19.9%. This represents a conversion margin on incremental sales over year of 28%. This is excellent performance in any environment, but particularly in the phase of increasing global inflationary pressures. We continue to believe that the company’s entrepreneurial operating structure and culture of cost control will allow us to react in a fast and flexible manner and achieve strong profitability going forward. Interest expense for the quarter was $10.6 million, compared to $9 last year. The increase over the prior year relates primarily to the inclusion in interest expense of fees on the company’s receivable securitization program in accordance with the adoption of the new accounting rules effective beginning this year. In 2009, these fees which totaled approximately $400,000 were included in other expense. In addition interest expense include one-time costs of $0.5 million for the early extinguishing of debt relating to the write-off of unamortized deferred debt issuance costs associated with the refinancing in August of the company’s revolving credit facility. In the third quarter, the company had an effective tax rate of 22.8%, compared to a rate of 27.5% in the third quarter of 2009. The 2010 quarter includes an $8.4 million or $0.05 per share net benefit relating to a reduction in tax expense due primarily to the favorable outcome of certain international tax positions and the completion of prior year audits. Excluding, these adjustments the effective tax rate is approximately 27.5% and we currently expect a same type of rate in the fourth quarter of 2010. Net income was approximately 14% of sales, a very, very strong performance. Diluted earnings per share in the third quarter was $0.78 as reported. Excluding the one-time tax adjustment, EPS was $0.73 and grew 55% over the prior year; an EPS growth rate of approximately 1.7 times sales growth, demonstrating the company’s significant operating leverage. Orders for the quarter were $943 million, up 4% from Q2, 2010 and up 27% from last year, resulting in a book-to-bill ratio of approximately 0.99 to 1. The company continues to be an excellent generator of cash. Cash flow from operations was $128 million or 98% of net income in the quarter, excluding tax items. The cash flow from operations along with proceeds and related tax benefits from option exercise of $16 million and borrowings under the company’s credit and receivables facilities of $121 million was used primarily for capital expenditures of $29 million; acquisition related expenditures of a $151 million relating primarily to the previously disclosed acquisition of an Borisch in July; dividend payments of $2.6 million; $20 million relating to the purchase of a minority interest in the quarter; payment of $7 million in fees relating to the new revolving credit facility and increases short-term investments and cash and cash investments of $69 million. In August, as previously reported, the company refinanced its senior credit facility. The new $1 billion facility matures in August to 2014 and at the end of the quarter the company had availability under the facility of $785 million. The company also has $100 million receivables securitizations facility that expires in 2013. In accordance with previous accounting rules, this facility was accounted for off balance sheet as a sale of receivables. Effective at the beginning of this year, those rules were changed bringing the facility on balance sheet. At the end of the quarter, borrowings under the facility were $84 million and were reflected as long-term debt. At the end of last year, approximately $82 million of receivables were sold under the facility and were excluded from the balance sheet. In addition to the strong operating cash flow and availability under which revolving credit facility, the company had cash and cash investments of approximately $588 million at the end of the quarter. The company continued a strong balance sheet focus during the quarter. Day’s sales outstanding or within the companies normal range at 67 days at the end of September up one day from the end of June, Inventory in the quarter increased one day to 76 days at the end of September and 75 days at the end of June and down from 80 days at the end of December. We are very pleased with the effects of the continued operational focus on inventory performance in 2010. In addition the increase in both accrued acquisition liabilities and other long-term liabilities at quarter end relates primarily to the accrual of additional performance base payments relating to the acquisition Borisch in July. Debt was $904 million at the end of September compared to $782 million at the end of June reflecting borrowings for the acquisition in July. The company’s leverage and interest coverage ratios remain very strong at 1.12 times and 17.8 times respectively and EBITDA in the quarter was approximately $225 million. From a financial perspective this was an excellent quarter. Adam will now provide an over view of the business.
Adam Norwitt: Well thank you very much Diana and let me also add my welcome to all of you on the phone today. I’d like to spend the few minutes to highlight for you our third quarter achievements and discuss some of the trends as well as our progress in our served markets and then I’ll present some comments related to our outlook for the fourth quarter. As Diana has just discussed we are very pleased that the third quarter for Amphenol was another record quarter in both revenues and earnings. In this quarter we capitalized on our leading technology positions across the broad array of diverse market to further expand our overall market position. Revenues increased 32% from prior year and 7% sequentially representing our sixth consecutive quarter of sequential growth clearly a strong achievement. Despite significant inflationary pressures, we continued to expand profitability of the company delivering strong 19.9% operating margins and an EPS growth of 55%. We should not forget as Diana mentioned, net income achieving more than 14% of sales an excellent achievement in any environment. In addition, our close management of working capital resulted in strong cash flow that was used in part to fund our ongoing acquisition program. This excellent performance is a direct result of the efforts of our agile entrepreneurial management team around the world. Now, turning to our served markets; the military and aerospace market represented 22% of our sales in the quarter. Sales in this market increased a very strong 38% from prior year and 23% sequentially with stronger than seasonal strength especially in military, vehicles and aviation applications. We were especially pleased in the quarter to see some acceleration and growth in products for commercial aerospace applications and look forward to further momentum in this important growth segment. We expect in the fourth quarter modest sequential growth from this already very strong third quarter performance and continue to be optimistic about the long-term prospect for these markets, as new electronic proliferate across all categories of military aerospace equipment. Our sales into the industrial market represented 12% of Amphenol this quarter and increased a very strong 87% from prior year and 5% sequentially from the second quarter. This growth was driven by a continued broad recovery in the industrial market, together with in acceleration of the adoption of our new technologies, more than offsetting any seasonal summer softness demand in this market. In particular we are enjoying renewed growth from our efforts of targeting high growth applications in emerging geographies including especially rail mass transit and energy related applications. We expect this market to sustain strength in the fourth quarter and are optimistic that our efforts in many growth segments of the industrial market will continue to bolt momentum into the future. The automotive market represented 6% of our sales in the quarter and sales increased 5% from prior year and declined 4% sequentially as we return to normal demand patterns in the worldwide automotive market. We have continued to see more growth in new hybrid electric vehicles and are encouraged by our ongoing progress in designing our innovative products into this new vehicle models. During the quarter we acquired a small automotive RF interconnect s manufacturer. While not material from a financial perspective, we are very excited about the excellent, strategic fit and potential this new addition brings to our efforts to expand in Telematic applications. We expect demand in the automotive markets to strengthen in the fourth quarter and retain very positive long-term outlook for this market with a general increase of electronics in cars, as well as with expending opportunities in Asia and other emerging markets. Our sales into the broadband communication market represented 8% of total this quarter and increased 3% from prior year and was were essentially flat with the second quarter. Moderate demand for broadband networking infrastructure was more than offset in the quarter by our sales of new value add interconnect products. We expect demand in the broadband market to moderate seasonally in the fourth quarter but look forward to long-term opportunities for growth that are being created by our ongoing development of new cable and interconnect products, as well as by our position in the growth markets overseas. The information technology and data communications market represented 21% of our sales in the quarter. Sales were up a very significant 39% from prior year with demand particularly strong in server and networking-related applications and were flat sequentially sustaining the already strong levels achieved in the second quarter. We remain very excited about our participation in the ongoing acceleration of data rich applications. This is driven in large part by the proliferation of new mobile internet devices as well as by the expansion of video on the internet. In particular we look especially forward to accelerating releases of new customer equipment, which incorporate our leading new high-speed products, as end customer demands continue to outstrip their current equipment capacity. We expect some moderation of demand levels in the fourth quarter from recent highs and a very confident that our broad customer position together with new advanced technologies positions us for further long-term expansion in the IT and datacom markets. The mobile networks market represented 12% of our sales in the quarter. We are encouraged to experience another strong year-over-year quarter in the mobile networks market, with sales increasing 17% from prior year, albeit with a decline of 7% from the second quarter on expected seasonality. We continue to enjoy growth-related to next generation network upgrades in developed geographies. Which is related in part’s to expansion in support of these new mobile internet devices. Although, we expect demand to moderate slightly in the fourth quarter on normal seasonality, we remain very confident in the strength our broad presence in new base station platforms, as-well-as our excellent position in a diverse range of emerging markets. The mobile devices market represented 18% of our sales in the quarter. Sales in this market increased a very strong 32% from prior year and 20% sequentially, as we capitalize on our strong technology position in a wide range of new mobile devices. Our leading innovation in interconnect products and antennas has positioned us now as the partner of choice with high-growth customers in the mobile market. We anticipate stable demand at these high levels in the fourth quarter and look forward to further long-term strength as we partner with our diverse range of customers around the world to develop new products for these increasingly complex mobile devices. In summary with respect to the third quarter I am extremely proud of our global organization as we have continued to execute well in a very dynamic demand environment. Our continued focus towards all phases of the economic cycle and reacting quickly to changing customer needs, while at the same time ensuring a relentless focus on profitability has resulted in the strengthening of our market position and further expansion of our already industry leading margins. Amphenol’s success as reflected in these new record results is a direct reflection of our distinct competitive advantages, our leading technology, our increasing position with customers in diverse market, our worldwide presence, a lean and flexible cost structure and an agile entrepreneurial management team. Looking forward, in the third quarter our performance is stronger than originally anticipated and we’re very encouraged to have an outlook for the fourth quarter that’s at or near these levels. Based on a continuation of the current economic trends and assuming constant exchange rates. We now expect in the fourth quarter of 2010 the following: we expect sales in the range of $933 million to $948 million or 23% to 25% growth over the prior year and we expect earning per share in the range of $0.71 to $0.73 again 36% to 40% year-over-year growth. I am very confident in the ability of our organization around the world to build on this new platform of record levels of performance and capitalize on the many opportunities that we see to further grow our market position and to expand profitability. With that operator, we’ll be very happy to entertain any question if there may be.
Operator: (Operator Instructions) The first question comes from Amit Daryanani.
Amit Daryanani - RBC Capital Markets: Congratulation on a nice quarter, a couple of questions; first off could you just talk why the operating leverage on the quarter seems a big below what you guys have been doing recently and below the target of 25% conversion. I think you alluded to some component commodity cost escalation. Was that the big delta or were there other drivers at play?
Diana Reardon: Amit, first of all I think we would just say that we are actually very pleased with the company’s profitability achievement in the quarter; ROS of 19.9% and net income to sales of 14%, we just think are really excellent accomplishments in any environment but particularly in an environment where we do see increasing global inflationary pressures. Then we achieved the year-over-year conversion margin on incremental sales of about 28% against the backdrop of these costs and we really think that this a tribute to the commitment of the operating management teams that has delivered planned profitability levels irrespective of a metal price increases, gold price increases, wages increases in China and whatever other obstacles that may present itself in the next quarter. I think that, even though, we’ve already achieved what we consider to be pretty high levels of profitability as you pointed out, we do have a goal from a conversion margins standpoint to achieve $0.25 on the $1 for incremental sales and we still have that goal as a team and I think as a team, we do believe that there is still incremental margin expansion possible in the business. This margin expansion will come I think from the same places that it came from in the past and the first place that it comes from is by us continuing to create value for our customers with sales growth that’s geared towards the highly engineered products that they need and focus technology areas of RF and in power and harsh environment and high speed, the types of things that Adam had talked about in the past. These create value for our customers and they create value for us also. Then certainly the ability of the local operating management to maximize the profitability of those products and while that does get harder when you have some of these inflationary pressures, we believe that the focus that we do have on keeping all elements of costs is always going to allow us to continue to expand margins. Now, these strategies have allowed us to expand margin in the past and we believe they will allow us to continue to expand margin in the future.
Amit Daryanani - RBC Capital Markets: I got it. Then, just on the mobile devices the growth seems extremely solid up 20%. Could you just talk about what all you guys do beyond phones that you guys had in all the tablets and so on, and want percent of that business is roughly antennas versus interconnect products.
Adam Norwitt: We don’t talk necessarily about what specific products by percentages Amit but you can just rest assure that our presence on mobile devices is very broad. The mobile devices, the complexity of these devices is expanding, the nature of those devices is also evolving and we have strong presence across the board in those products and we are very proud of that presence Then I think when customers come to us for these products they are coming exactly for that reason Diana just alluded to, which is we are creating technology, which allows them to create a better experience for their customer at the end of the day. So whether that comes in a tiny mobile phone, whether it comes in to a large or smart mobile device, it doesn’t matter, they still have a thirst for technology that our organizations around the world have been extremely successful at creating for them.
Operator: The next question goes to Wamsi Mohan from Bank of America.
Wamsi Mohan - Bank of America/Merrill Lynch: Adam could you perhaps talk about what changed through the course of the quarter that enabled another significant sales relative to how you saw it three months ago and how much of sales did Borisch contribute?
Adam Norwitt: Just relative to how things went in the quarter, I think when we first talked about the guidance, we certainly had expected some markets to be up and others to more seasonally down in the military and industrial market. In particular we normally would see in that quarter a seasonal pause in demand we didn’t necessarily see that and I think that was really the big change that came from the prior guidance, which really helped to push us forward. I would say we had foreseen maybe in some other market to see it grow where it was much flat, but on balance we certainly saw across the company more strength throughout the quarter, in particular in that military market and the industrial markets. I would say mobile phones or mobile devices was also stronger than we had originally anticipated.
Diana Reardon: I think from a Borisch perspective I think the accusation impact from a quarter-to-quarter basis is somewhere in the 3.5% type range and the bulk of that was Borisch.
Wamsi Mohan - Bank of America/Merrill Lynch: Thank you and just as follow up, Adam you mentioned within industrial that you saw an acceleration of adoption of new technologies. Is that something that given your R&D investments in various technologies, is it something that we should expect would continue sort of over the next few quarters or there is something that you had specifically designed them for certain customer that came to fruition at this point in time?
Adam Norwitt: No I think it’s broader than just one customer. I mean look I am not going to tell you that we would continue to have 87% year-over-year growth, but I would also guess that the overall industrial market segment certainly did not grow 87% on a year-over-year basis. So that difference is really where we see the new technologies taking hold and these are broader than just a single application, a single product and we have talked before about the efforts that we made in to alternative energy, which clearly starts to bear fruit; new technologies that go into rail mass transits, especially concerted efforts that we have made in emerging markets whether it be in China, in India where we have just tremendous ongoing efforts to work with new customers in those markets, again to help them to enable their technology. So if you just look at some of the ongoing developments in these markets whether it be with the new subway, system, new high speed rail, new demand on alternative energy; a lot of the innovation in the world in the industrial market is actually now starts to happen in these merging markets as opposed to the more traditional market. Then I think that’s also partially explaining why that performance from a sequential standpoint where we would normally expect that in the third quarter to be down sequentially was up 5% on sequential basis is a extremely strong performance for industrial, which I think is really somewhat a reflection of that same dynamics.
Operator: Our next question goes to Matt Sheerin with Stifel Nicolaus.
Matt Sheerin - Stifel Nicolaus: Just a question Adam on the guidance calling for a flat to down slightly and if you factor in that small acquisition maybe a little bit worse than that and typically your up in the low single digits on a sequential basis and certainly you are coming out off a very strong quarter in three or four quarters of better then seasonal growth. So how should we read in to that guidance or you just being a little bit more conservative or do you think we are seeing somewhat of a pause here as some of your counterparts in semiconductors and other components are seeing?
Adam Norwitt: I think the most important point to make Matt. which is integral into your question is, the third quarter was just a very, very strong quarter and we are very proud of the fact to be able to just sustain such strength and not to say that is a play-up or that is some sort of a bubble. I mean that was really a strong quarter across the board and Amphenol and then to have that sustain in to the fourth quarter is something that we think is a very, very positive and strong guidance for the company. Relative to semiconductors and all of this, I mean they go in their own cycles. I think what we certainly see in some of the markets for example the IT datacom market where there is more of a leveling in the short-term at very strong levels and again to have that leveling of demand in the IT datacom market at those strong levels that we have is something that I think we are very pleased to see.
Matt Sheerin - Stifel Nicolaus: Diana you talked about that contribution margin going forward still targeting 25% or so. Given that and you talked about materials prices like copper and gold going up, what’s the outlook there? Are you looking at passing along price increases, do you see any head winds there on materials?
Diana Reardon: Sure, I mean, clearly material costs have going up and this is something that we had to deal with in the past quarter, we will have to deal with in the next quarter. I think that the objectives that we have for profitability doesn’t changes the results of that. Clearly there are actions that need to be taken in order to achieve, besides the results that we did in the third quarter. Then we certainly look to in to the fourth quarter from certainly pricing is one action that’s important for us and I think pricing is a real art and I think that we certainly put a lot of effort in to making sure that we are pricing the products for the value that we believe customers are receiving and I think in an environment where you do have these inflationary pressure, pricing is one of the important pieces of the puzzle in terms of how we’re able to achieve the margins levels that we look for. There are certainly our other actions as well. I think that we’ve talked in the past. We have a lot of efforts that is expended in order to make sure that we use as little of certain materials as we can, based on the assessment in the last year or so. There are certain metals that just seem only to be headed in one direction and so we are certainly working hard on the cost side but, you’re correct to point out that pricing will certainly be an important aspect for us. I think, one part of the business where it’s a little bit more difficult as you know is on the cable side and there it may be that next quarter as an examples if this pressure on material continues to happen than we may see some impact on the margin, but in aggregate for the company we would look to still be able to achieve our goal just as in a more difficult environment.
Operator: Your next question goes to Brian White, Ticonderoga.
Brian White - Ticonderoga: I wonder if you talk a little bit about both mobile infrastructure and also IT and data here. It seems unusual the third and fourth quarter neither market is going to grow?
Adam Norwitt: Thanks very much for the question Brian. I think that would traditionally be the case, I think, number one, I want to emphasize that both those markets I would say had a very, very strong recovery from their early lows. We have a very broad position in both of those markets and the n speaking about mobile infrastructure first. In that market, we have a broad position, both on product, to the OEMs as well as into the operators in all geographies. Whether that be in emerging markets, whether that be in developing market and in that market clearly there has not been that kind of bubble of spending among the operators in the emerging markets in particular, which is there. Relative to the internet market we believe that we again have very strong result in the third quarter and just to sustain those results during the fourth, at a time when as you point out or one of your peers has pointed out, there is some uncertainty in that market amongst semiconductor players and others. We feel very good about our position and most importantly about our position with new leading edge products. I think those leading edge products that we have in the IT datacom market in particular are going to carry us through to have great success in that market.
Brian White - Ticonderoga: Adam, do you feel like customers are actually working down inventories in those two markets?
Adam Norwitt: I don’t know necessarily. Again we don’t have full visibility into the warehouse of all of our customers I think in certain markets there has been, in parts of that market whether it be among contract manufactures or other, they may have leveling of their demand or even a pause in certain areas of their demand. Is that inventory related? It certainly could be as they seek to balance their warehouses, but again we don’t sell through distribution predominately into those markets, it is sold predominately to OEMs and certain contract manufacturers and we do not have full visibility into what there warehouses are.
Operator: Our next question goes to William Stein, Credit Suisse.
William Stein - Credit Suisse: I am wondering if you can comment on the linearity of the booking and billings through the quarter and then into this early part of Q4? Any help understanding how the book to bill has trended and demand generally and in particular as it might relate to inventory levels of customers you were just commenting on a moment ago?
Diana Reardon: I can maybe comment on linearity during the quarter and then maybe Adam can take the rest of the question. In most third quarters, September is certainly a very important month. We tend to have a little quieter activities level during the summer and in July and August that I think that this third quarter followed very much that pattern where September was the biggest month in the quarter both from a booking and billing perspective. So that is sort of what it looked like as we went through the quarter on a month-by-month basis.
Adam Norwitt: Then I think that fourth quarter tends to usually be somewhat the inverse of that, obviously with the holidays in December and I wouldn’t read anything from our linearity in to these comments relative to inventory. I don’t think we have seen any market changes throughout the quarter that give us pause or give us some degree of concern because as Diana said the third quarter in September is usually a very big month as you come out of the holidays.
William Stein - Credit Suisse: Great, that was very helpful. One other question relating to cash, debt and the balance sheet generally. You are about $315 million of net debt today. It’s a smallest level of net debt since I think early in 1997 and but my math it look’s like if you don’t source another meaning deals in the next three or four quarters you’d wind up in net cash position. I am wondering if that’s an acceptable position for the company to be in or if there is no meaning for the older deal to wind up presenting itself, which I know is your preferred method of growth. Would you wind up doing something with regard to buybacks or would you tolerate that kind of or would you accept that kind of cash position?
Diana Reardon: I think it’s always a little hard to speculate about what may or may not happen in the next three or four quarters and I think we will probably wouldn’t do that here. So I think as we’ve said before, your comment is certainly valid, that our net debt position, certainly is at a low level. Also you didn’t say that but its also it shouldn’t go along with that, we certainly have quite some capacity from both from a revolver availability, from a cash perspective, the company is a real cash machine. So certainly from an operating cash flow, cash flow capacity that could add to the company’s ability, certainly to act upon the appropriate acquisition opportunity that may come up. As we said in the past from a prioritization standpoint, we look to use the company’s financial capacity to fund the acquisition program and it is difficult for us to forecast exactly which quarter a particular deal may become available to us. So we do believe that there is a good pipeline of potential opportunities out there. We still believed that this is the best vehicle for the company in terms of its long-term strategic growth both on the top and bottom line. So clearly if for some reason there was absolutely no acquisition opportunity for us over some longer period of time then certainly there are other options for the company, such as stock buyback or debt service. So I think at this point in time, we still feel very good about the acquisition program and the pipeline of opportunities that are out there.
Operator: Our next question comes from Jim Suva from Citi.
Jim Suva - Citi: A quick question; while Q3 was absolutely a stellar quarter in every metric if you look about on your company, if we can just come back to the topic again about Q4 being pretty materially below seasonal outlook, does that basically mean that some of your end markets are going to be worst than seasonal, because even though its a great quarter, you should expect to see seasonality at some point. Can you help me kind of bridge that gap or some people have ask me have you booked some orders in Q3 from Q4 that kind of makes the comparisons a little bit difficult there? Why not the seasonal outlook should we expect?
Diana Reardon: I think just to answer the last question first; we certainly haven’t booked any orders in the period that are related to the period. I mean that isn’t any sort of swapping this from one quarter to the next. I think that we had an extremely strong quarter in Q3 and particularly in certain markets like the military and industrial market, which aren’t typically seasonally up in the third quarter but ordinarily are seasonally down. So I think that then when we look at what Q4 expectations would be for those markets to expect them than to sort of rebound in a normal seasonal fashion in Q4, it doesn’t make a whole lot of sense when you look from a quarter-to-quarter standpoint. I think that we’ve gone through a year and a half, almost two years here, sort of down and up cycles and I think that when you are sort of at the tail end of that normal seasonality, it’s not so easy to define. I think we still hear that Q3 coming of a record quarter for the company that is to say again at high levels from a sales perspective and from our standpoint to guide in the fourth quarter at the high end at that same level again we think is a very strong performance. This guidance is put together in the same fashion that we put together guidance every quarter in a very bottoms-up fashion and we believe that this is strong guidance for the quarter.
Jim Suva – Citi: Then, as a quick follow up, can you talk briefly about the SG&A line. Many companies are starting to fall back in merit increases and salary increases. Has Amphenol already done that or is that something we should start to expect in Q4 or Q1 or how should we think about SG&A with sales going down next quarter, you pulled it in an acquisition. Should SG&A come down next quarter or be flat or we’re looking some merit increases? Thank you.
Diana Reardon: Sure. We don’t have merit increases as you call them for the company as a whole with all the employees and sort of trigger that at one day. I mean we have employees all around the world and there are increases that are appropriate for the particular part of the world that happen in different times during the year. So there is no debt function if you want with those types of costs either in SG&A or in costs of sales that would trigger some sort of debt function increase in costs. Relative to SG&A levels in general, I think that our SG&A in the third quarter was something like I don’t know 12.7% of sales or so and I think we did a pretty good job of being able to manage our SG&A levels at a pretty low cost level. That being said I think in the quarter, we actually did have a few probably small upward pressures on SG&A relating to the acquisition that we did in the quarter, there are also some intangible that get recorded in purchase accounting for these acquisition that get amortized into SG&A and we did small level of transaction expenses, which also under the new accounting rules go in to SG&A as opposed to going into goodwill as they did under the old rule. So SG&A in the third quarter is probably a little bit higher than it would have otherwise been in, at the high end of guidance. Which is sort of flat sales, it could be that SG&A as a percentage of sales does come down some as we move in to fourth quarter. I certainly wouldn’t expect it go up.
Operator: Our next question comes from Amitabh Passi from UBS
Amitabh Passi - UBS: I had two questions. One was around your end market, just a couple of them. Adam on the aerospace and defense market, I apologize, I think you made some references to that, but could you help understand the 23% sequential increase. I mean was this tied to may be some one-time programs that sort of provided this pretty impressive sequential increase and does that sort of abate as we look further down and may be if you could shed some color on what those programs were?
Adam Norwitt: I mean relative to 23% obviously there was some help in that 23% from the acquisition of Borisch, but even without that we had strong single-digit growth in that quarter end, but this was not coming form one program or any particular program but rather a generalized strength in that market, which has come from really our diversification efforts in that market. I think I mentioned, we saw strength military vehicles as well as maybe Asian platforms and we really start to see those platforms whereby we have a broad presence on the entire bill of material coming through not from one in particular. There is not just one airplane that has being released to another but rather a very, very broad position that we have on a global basis in addition.
Amitabh Passi - UBS: Okay. Then on your wireless infrastructure market, just curious if you could shed some color on what you are seeing from sort of global macro trends. There is a lot of excitement as we look at 4G roll out in the US, potentially 3G in India. It certainly seems like, that things might be turning a bit slower than expected in back-half of this year but just, your thoughts on some of this macro trends, when do you think we’d start to see some of the benefits of the spending cycles?
Adam Norwitt: Sure. I think we have seen already in this year with 17% year-over-year growth, some benefits from especially the developed market and in this the infrastructure spending that has really gone to support all these new mobile devices and the various capacity constraints that have been in that market. What we haven’t really seen this year has been a strong push from the emerging markets. I mean you mention in particular India, and that third generation rollout. When that comes, I certainly hope you’ll let me know when you find out, because we don’t have any better information. My experience though in India is that, that will come probably at a time when the rest of the world does not have strong demand. Because Indian operators are notoriously shrewd in terms of when they procure products that the OEM’s and the equipment manufacturers are very hungry for business such that they get good pricing power. So when that comes, they have to clearly spend some money on the licenses and they’ll spend a lot of money, but I think they will time the build out of that to when they get the best power over the OEMs is reasonably priced. Relative to China, again, we had a year ago, a year and a half ago now, a sort of launch of 3G in China and there is a constant upgrade of those 3G networks in China but none of those have the magnitude of an individual launch at the time which hopefully India will have at one point. Relative to 4G and LTE or what else or others, clearly there is a real momentum towards that if that is coming, the schedules of the bill. Whether it would be in the United State or in another markets, I don’t think this have been fully set forth. So we will have a strong participation. We have a strong participation at both the operator and the OEM level on all these new base station platforms with both our interconnect products as well as our antennas. So when that does come, we will be very-very well positioned to perform on that. I think at the time when China had build their 3G network, we proved to all of our customers that Amphenol is agile enough to sort of turn on a dime and support them when they need the support. So that’s not forgotten by them as they go into these next several phases of build that, whether in emerging markets or otherwise and we’ll stand to enjoy very good business from that in the future.
Amitabh Passi - UBS: Great. Then just, Diana for you, on the cost structure side. You talked about commodity cost pressures. Any incremental pressure from escalating wages in China, was that not as big a factor. Then again, I missed this, it sounded like you were alluding to the potential of some price increases. Just I am wondering whether that’s part of the plans as we move into 4Q?
Diana Reardon: Sure. I mean, I think that, we’ve seen in the third quarter, we saw certainly pressures on metals and we certainly have seen increased wages in China and anywhere from sort of 12% type levels to the mid 20 depending on the progress that you are talking about. So I mean all of those types of pressures certainly are things that we’ve had to deal with this past quarter and we’ll have to deal with in the next quarter and this is some what the nature of the world that we’re manufacturing in and I think it’s a matter of just keeping, certainly a close watch on margin and making sure that we’re taking appropriate pricing actions but also continuing aggressive cost reduction actions with labor specifically, one can have an impact on how much labor content there is any particular product to use of things like semi-automation as an example through modifications and product design So there are a lot of actions that you can’t take when you get those pressures and I think our operating management team just does a great job and being very creative and coming up with the new ways to deal and offset these types of pressures. From the pricing standpoint we are constantly, certainly reviewing and adjusting prices where we can in the marketplace. It isn’t something that is sort of done in a top down price list type fashion. I mean we have constant negotiations with many accounts through out any given month. As you know the business is very diverse, but I think that pricing decision actions are in our company based on margins goals. Obviously there is a competitive nature to pricing that can be overlooked but we continue to certainly try to maximize pricing and I think that becomes the more important factor as these inflationary pressures get stronger and so we’re certainly obviously spending more time on that and in an environment like this, but I think those are all the types of things that we just need to do to continue to meet the margin goal that we have.
Adam Norwitt: I would like to emphasize one thing that Diana said here, which is, there are always costs pressures and we have seen this in the past, we saw it back in 2007, we started to see it again this year. For an Amphenol General Manager, the fact that gold price is 1350, the fact that China wage goes up, this is not an excuse in our culture. This is just a challenge that will be met and will be surpassed.] Our management team to achieve these margins in this quarter clearly demonstrates once again that regardless of kind of what gets thrown at them, they are able to really overcome those obstacles and still achieve fantastic results and they’ll continue to do that in the future.
Operator: Your next question comes from Steve O'Brien from JPMC.
Steve O'Brien - JPMC: Thanks for taking my question. Just two quick one if I could. Certainly the mobile devices growth has been very impressive this year. As we look out into the next quarter and to next year, do you think that there is an opportunity to sustain sort of higher than unit volume growth, based on increased complexity in the devices and increased connect to content and increased antenna content?
Adam Norwitt: I think related to mobile devices; we are very proud of our achievements over the last number of years and continuing to expand our position in that market. It becomes a very significant market for us 18% of our total sales in the quarter and we have achieved that through really a multipronged approach. We try to be the broadest supplier to the broadest level of customers in the broadest geographies. So that’s a very simple approach. At the end of the day, the underlying driver of that is our technology. So as the products become more complex, certainly we see opportunity to get more content in those products whether that is that you are growing at a certain multiple of the market rate or not. I mean that I’m not going to tell you, because who knows what products are going to come, what the mix of those products would be. So clearly, consumers are demanding products that have more functionality that come in smaller packages that have a real sort of seamless interaction with the internet and with the mobile network. I think in that area, clearly our products whether that be interconnect products or antennas or otherwise find just a real strong receptive mindset from our customers because of the technology that underlines those products.
Steve O'Brien - JPMC: Thanks for that Adam and another question on a different topic. CapEx if I got my numbers right, is running below sort of 3% of revenue. Revenues setting new record levels, where is the facility utilization if you can, it’s very hard but if you could qualify it or quantify it and expectations I guess going forward in term of CapEx needs. Any commentary there would be helpful?
Adam Norwitt: We don’t track on a consolidated basis really, Facility utilization, is really not the mind set that we adopt. I think we adopt a mindset in our company, really more like an accordion and where we seek to have flexibility around the world in both our people and our facilities and that’s why we generally don’t own our facilities. We generally don’t build big campuses. We lease them; we create options for where if we need to expand facilities or equipment we have the capabilities to do that. If we need to strengthen, we also have the capabilities as we showed eighteen months ago. So to say what is some statistics on facilities utilization, I am sure today it is higher than it was at the depth of the downturn. That much I can tell you. Is that a problem for us? Absolutely not. I think our organization on a worldwide basis has always followed a principle of preserving flexibility in terms of our infrastructure of the organization. That has been one of the drivers that allows us to have strong profitability in good times and in bad, because we are not writing things off when the bad times come and we are not overspending on them in the good times with inevitable write off to comes after that. So, with that, as we look forward, I think your question is, is there some sort of additional incremental spending that has to come. Our CapEx varies, I think between 2.5% to 3.5% of sales over time and we don’t see any reason why that would be any different in the future.
Operator: Our next question is from Craig Hettenbach from Goldman Sachs.
Craig Hettenbach - Goldman Sachs: Great, thank you. Just cycling back to the topic of M&A. Just given a size or increased size of the organization, does that change at all. The strategy on M&A in terms of looking at potentially midsize deals? I suppose you just tuck in?
Adam Norwitt: Thank you very much, Craig for the question. I think our strategy with M&A has been – and is inconsistent on one front, which is we look for good complementary companies with excellent management teams and excellent technology. That doesn’t change regardless of size but I think if you look over the last two years, two of the three largest acquisition we have done have been really in the last 18 months with Times Microwave in Q1 of last year as well as Borisch just recently. So I think that those very significant acquisitions second in size only to the TCS acquisition in 2005. Will we find more companies of that size? We certainly will and we’ll certainly have an appetite for companies of any size regardless of outcome. At the same time we don’t shy a way from small companies as well if they bring with them a proprietary technology that allows us to create a platform of growth in the future. I think that those platforms for us have been strong contributors throughout the history of Amphenol in our acquisition program. We have what is today still a very vibrant acquisition pipeline and on that pipeline are companies of all shapes and sizes. I think the fact is as Diana alluded to earlier today, we are in a very strong position from a capital structure and an availability of resources to do those acquisitions. We are also in very strong position in terms of the attractiveness of Amphenol to potential targets. We understand in this industry really has been a acquirer of choice, in large part because not only as do we have strong track record of success with these acquisitions but we have an organizational structure, which makes acquisitions have a good home. We don’t seek to bring them in to the company and change them and remold them and change all the things that are maybe not necessarily value-add, rather we stick to create opportunities for those companies to come in to Amphenol regardless of their own unique natures, which we apply. Those unique natures of those companies coming to Amphenol and they prosper and they continue in for years. We have companies who still have the name that they had 50 years ago even after joining Amphenol for half century. So I think that mindset towards acquisitions is one that makes us a very-very attractive candidate and an attractive home when some one is looking to sell a company and I believe that will allow us going forward to continue to have the strong acquisition program.
Craig Hettenbach - Goldman Sachs: Okay, thanks for that color. Then as a follow up most of the questions on order trends and inventory have been focused on the OEM customer base, I am just curious as to what you’re seeing in the distribution channel?
Adam Norwitt: As you know distribution is not a huge part of our business. It’s less than 15% of sales and I think that distributors certainly had strong momentum coming out of the downturn. We did not see significant inventory build in our distribution channel. That is one area where we get to see a little bit more visibility than in the others. We saw a little bit of inventory build but clearly the churns were much stronger than they were one or even two years ago. So I think we have not seen in distribution necessarily and worry some inventory trends that you may look out for at this time. Then relative to distributors going in to the fourth quarter and towards the end of the third quarter, I wouldn’t say that it was as a flossy may be in terms of the growth that it had been in the past but there is not these kind of warning signs of inventory levels that we certainly look out for.
Operator: Our next question comes from Shawn Harrison from Longbow Research
Shawn Harrison - Longbow Research: Just may be a few clarifications. In your prepared remarks Adam you talked about the commercial aerospace market beginning to comeback Boeing was a little bit more bullish today as well. So if you could may be just speak to the time frame when the commercial aerospace would begin to regain the shrink that you’re seeing begin the impact your revenues. Is that more of middle of 2011 dynamic?
Adam Norwitt: Yes. I mean, I think it already has some impact on a revenues and then it’s not growing. Commercial aero space was certainly a sector that was hit very-very hard in the downturn as you know and as everyone is very clear on. I think whatever the Boeing result is today or the results that we see in the words that we hear from the customers, clearly the trend in commercial air is one that is more positive today than it was six months ago. I think, its very encouraging to see that the new aeroplane platform, whether that would be 787, whether that be 8350 which combined between the two of them have nearly 1400 orders on the book. So, it’s just a fabulous prospect for that industry which have to adopt these new platforms. I mean, regardless of what is happening in the economic cycle, the price of fuel is not dropping in any significant way, which means that this new aeroplane platform on which there is a much higher opportunity for electronic content by Amphenol, those were going to fly in the sky. Whether they get delayed, one or two or three or in some cases, five quarters out, those planes are going to fly and at the they fly, we’ll be very happy to enjoy the business. I can tell you when they will release these planes. Certainly, not going to be the one to bet on when that will actually be flying in the sky in a big way, but there is no doubt that it will be and that time that’s going to be a significant contributor for the company.
Shawn Harrison - Longbow Research: Okay. Then commercial aerospace right now is may be a quarter or else?
Adam Norwitt: Yes. Roughly.
Shawn Harrison - Longbow Research: Okay. Then, my two other clarifications. The small acquisition that you recently completed. What is the annual revenue contribution? Is it somewhere around $20 million?
Diana Reardon: This is a pretty small company. I mean, it’s a few million may be in a quarter. Is what it would contribute or may be 0.5% from a growth sequentially quarter-to-quarter perspective.
Shawn Harrison - Longbow Research: Okay. Then finally just on the $943 million in orders reported for this quarter. How much of that is, I guess typically shippable or shipped within 90 days?
Diana Reardon: On a consolidated bases, Shawn we don’t even really track that because each market is so different. I can tell you that, there is certainly a portion of that that were shipped within the quarter but there is a large portion of that we shipped in the quarter that’s based on hub force and based on forecast schedule and things that really come in and go out in the same quarter if you will. So, if your question is whether or not, this is sort of normal or abnormal book to bill ratio, I would say that this is a very normal sort of book to bill ratio and I wouldn’t necessarily read anything into that.
Operation: Our next question goes to Steven Fox form CLSA.
Steven Fox - CLSA: Good afternoon. I just had one quick question, a lot of this has been covered but I was just wondering getting back to the cost pressures. You’ve talked about some of the strategies you have employed. I was wondering specifically if there is any particular moves whether its within China was either to western China or moving production into more low cost countries that you could highlight that are going to happen in the next few quarters that could help along those ways than others that are always go underway but is there anything in particular we could talk about today?
Adam Norwitt: Well, I think you stated yourself, Steve. These are always underway for us. We have factories throughout China, we are not just in one area or another. We are in the west, we are in the north, we are in the south, we are in the east. I think there is not any particular kind of one-off move, and you know enough of about how we operate that this is done on a very evolutionary constant ongoing basis in the company. The same goes for other markets whether that are other geographies where we have manufacturing, whether that be in India, whether that be in the low cost areas in eastern Europe and Africa and North and South Africa. I mean we continue to on a real time basis adjust our manufacturing to the cost realities to the markets that we are in. I think Diana mentioned as well that it’s just not moving of factories, it’s also taking those steps to take labor out of those products where we have to take labor out of through automation and all of those various tools and levers to pull that the general managers have in the company. So there is not necessarily one thing that I would highlight for you but there is an ongoing process within Amphenol every day of the week, every month of the year.
Steven Fox - CLSA: Just a quick follow up is there any neighborhood for instance that you can see much more higher cost or maybe you have decided recently just sort of move to other parts close up facilities since you have that flexibility?
Adam Norwitt: No I wouldn’t point to one neighborhood and Diana mentioned there is a range of wage increases in China and those wage increases here are all over the map somewhat and there is a timing of them is also in different areas, but it doesn’t say to us where we just shut down facilities and we restructure them and we consolidate them. Again that’s not how we operate, we have been ongoing facing these pressures and we’ll continue to move forward with those cost reduction efforts.
Steven Fox - CLSA: Fair enough, thank you very much.
Adam Norwitt: Thank you very much and I think operator at this time we would wish everybody well for the remainder of the year and look forward to seeing everybody next year.
Diana Reardon: Thank you.
Operator: Thank you for coming today’s conference and have a nice day.